Operator: Good afternoon. And welcome to Funko's Conference Call to discuss Financial Results for the Second Quarter of 2021. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. Please be advised that reproduction of this call in whole or in part is not permitted without written authorization from the Company. As a reminder, this call is being recorded. I will now turn the call over to Ben Avenia-Tapper, Director of Investor Relations to get started. Ben, please proceed.
Ben Avenia-Tapper: Thank you, and good afternoon. With us on the call today are Brian Mariotti, Chief Executive Officer; Andrew Perlmutter, President; and Jennifer Fall Jung, Chief Financial Officer. Before we begin, I'd like to remind everyone that during the course of this conference call management will discuss forecast targets and other forward-looking statements regarding the Company and its financial results. Well, these statements represent our best current judgment about future results and performance as of today, our actual results are subject to many risks and uncertainties that could cause actual results to differ materially from what we expect. In addition to any risks that we highlighted during the call, important factors that may affect our future results are described in our most recent SEC reports and today's earnings press release. In addition, we will refer to non-GAAP financial measures during the discussion. Reconciliations to their most directly comparable U.S. GAAP financial measures and supplemental financial information can be found in the earnings press release and 8-K that we released earlier today. All of these items plus a visual presentation that investors can consult to follow along with this discussion are available on our Investor Relations website, investor.funko.com. I will now turn the call over to Brian.
Brian Mariotti: Good afternoon, everyone, and thank you for joining us today. We are pleased to deliver an exceptional second quarter highlighted by our largest top-line performance in company history. Net sales came in at $236 million up 141% compared to last year, reflecting broad-based strength across our brands, product categories, channels and regions. We are now above pre-pandemic tail levels in all our major geographies. Our ability to drive this level of performance while navigating the fluid macro environment, because it's tremendous execution by our teams. I am extremely proud of what we've accomplished during the last 18 months. We have become a more resilient and dynamic organization and found new and exciting ways to delight and engage our fans. The evolution of our virtual conventions is a great example of this. I spent the earlier part of the week at our first annual FunKon event, a hybrid virtual and physical events that we think represents the future of fan engagement. We had virtual conventions in the past. In fact, there are seventh virtual events, but we've managed to elevate the scope and the success of these online and hybrid events in a massive way. Hosted out of our Hollywood store, we developed a mix of live and pre-recorded content for both live bands in the store, and 10s of 1000s of additional fans online. This week, we've featured prize giveaways, opportunities to go behind the scenes and meet Funko artists, and celebrity features among a whole host of other fan engagement events. What we've unlocked with virtual and hybrid conventions today format to provide a more tailored fan experience with greater brand control, and similar revenue potential. When compared with our traditional convention calendar. The event is only halfway done, the initial steps have been extremely positive, we are on pace to beat our 2019 in-person sales numbers by more than 40%. That does not mean that we're abandoning in person conventions in the future, but what it does mean is you can expect more virtual elements as we continue to elevate our fan experience. On the direct-to-consumer front, accelerating the expansion of our e-commerce platform was a key growth pillar, even before the pandemic. But it became that much more important as physical retail was closed and or disrupted last year. Today, we are generating sustained traffic growth. And we've integrated tools and analytics to increase conversion rates, and average purchase value on our sites driving steady performance improvement. We are also leveraging our strong social media presence and broadening the SKUs available. Our Funko shop exclusives like Alice in Wonderland, Blacklight series continues to sell out in minutes. But by expanding our catalog of pops and other categories available on our site, we're able to seamlessly provide additional item recommendations. In just the first two quarters of this year alone average units per transaction average orders per customer both increased by more than 35%. In a quarter that saw consumers returned to brick-and-mortar retail, we maintain strong traffic and sales growth across all our sites. Turning to our evergreen collections, the past 18 months is served as an important proof point of our ability to deliver compelling products irrespective of the current state of new content. And cinemas closed last spring sports league canceled seasons and TV shows stopped filming, we refocused even more on our evergreen properties. Our content catalog is a treasure trove of fan favorites, and it is no surprise that evergreen titles dominated throughout 2020 sales. Today, we're maintaining that the ability to create products that thrill and resonate from our entire catalog. In fact, evergreen property revenue more than doubled in Q2 versus the prior. But now we're beginning to layer on new content, including an excellent theatrical release calendar, and the results speak for themselves. This past quarter our list of top 10 properties include new titles like Space Jam and New Legacy as well as classics like Lilo and Stitch in Funko. And the last one I'm going to want to call out is the tremendously successful launch earlier this week of our first digital pop NSP collections, with the Teenage Mutant Ninja Turtles. The first drop of 20,000 standard packs and 10,000 premium packs sold out in less than 15 minutes, with more than 45,000 fans in the queue when the drop went live. Just like with our physical product. The first launch is always a learning opportunity. We will continue to refine the size of our drops, the cadence or with our drops occur and the overall user experience. But the early response has been extremely encouraging and well above our expectations. I'm genuinely pleased with the team's ability to quickly execute against this initiative, and deliver a product and buying experience that excited and delighted our fans. Q2 was a company-wide success, reflecting the effectiveness of our entire pop culture platform and our ability to connect with our fan bases around the world. Our Pop and Loungefly brand each crew in excess of 130% over the prior year as the reopening of specialty retail provided a huge lift to both brands. Pop benefited from the stronger content calendar as well as our continued success with evergreen property revenue. Meanwhile, Loungefly's unique and innovative approach to collectible fashion has made it particularly attractive to specialty as these retail partners look for opportunities to differentiate their experience and product. Initiatives like our exclusive program, for buy additional peers of differentiation and continue to be a driver for new demand for the brand. From a product category perspective, our diversification efforts were headlined by Loungefly, which grew 136% over 2020 led by bags, wallets, and accessories. We also generated strong growth in non-Loungefly items including games, plush and action figures. On a regional basis, both the U.S. and Europe generated triple-digit growth over Q2 2020, and both regions exceeded 2019 performance. The reopening of specialty drove significant growth in both geographies. Within Europe, we saw recovery across the region with the areas that lagged in Q1 of this year, largely coming back inline as locked down restrictions eased. In our other international markets results approached or exceeded pre-pandemic 2019 levels as growth return to nearly all regions. We delivered an excellent first half to the year, and we remained focused on executing against our key initiatives to increase our broad consumer appeal, and expand our total addressable market. Against the backdrop of a record quarter and a really excellent first half, we are mindful of the macro uncertainties we were facing in the second half. Most notably, trade headwinds are accelerating sharply causing parts delays and substantial costs increases. Additionally, the rising concern around the Delta variant is beginning to weigh on our consumer sentiment. Despite these macro challenges, we now expect to achieve net sales of $900 million to $930 million, up approximately $30 million at the mid-point from our previous guidance range, reflecting our second quarter outperformance and the exceptional demand for our products, which remained at an all time high. Jen will share more details on our outlook when she reviews our financial results. Now, before I hand things over to Andrew, I want to express my enthusiasm for the management transition we announced this afternoon. Andrew and I have enjoyed a strong and highly productive partnership, since he joined Funko in 2013. We will continue to collaborate closely through this transition process, and we are looking forward to maintaining our partnership in our new roles beginning next year. The business has never been stronger. We just reported our best sales quarter ever and have had the product and talents to ensure we are well-positioned to deliver long-term growth and sustained shareholder value. We greatly appreciate the support of our partners, fans and shareholders, and look forward to keeping you updated on our progress throughout the year. Now we'll turn the call over to Andrew to discuss our strategic initiatives.
Andrew Perlmutter: Thanks, Brian. Let me start by saying how honored I am to assume the role of CEO next year. Brian and I have been working together for more than 10 years, and I look forward to working with him for another 10. This is a very special time for Funko. We have amazing opportunities in front of us and I know that with Brian, as our Chief Creative Officer, our future will be bright as other. Our record quarter was driven by success in each of our four strategic growth initiatives. Q2 was an exceptional quarter for the pop brand, which generated triple digit growth and exceeded 2019. Brian highlighted, our successful evergreen properties, which are now being complimented with a robust movie slate. Within our evergreen property sports, music and anime continued to gain momentum. Three animate properties made it into our top 20 for the quarter. Our new Vinyl Figure platform targeting sports and music fans goal is set to hit shelves this fall, and we have more programs targeting new customers and fans on the way. Our product diversification initiatives saw similar success. Our non-figure business also generated triple digit growth and success across all categories. Loungefly continue to with the exceptional growth trajectory. This is driven by a strong recovering specialty DUC performance and growth in Europe, a combination of exclusive programs, higher average price points and a more focused product mix for all factors in our success. International continues to be a growth area for Loungefly. When we originally acquired the Loungefly brands, it was mostly a domestic business. Over the last few quarters, we've seen accelerated growth in Europe, as we've expanded our footprint. In our youth collectibles category, we continue to make strides in new areas of the store, reaching new customers. Smash hit wave two is hitting store soon, and we continue to see strong success with our plush and action figures, mainly driven by our five metric business. Last, but certainly not least is our continued expansion into the game isle. We saw a strong positive reaction to several of our new titles including ESPN Trivia Night; Disney, it's a small world; Goonies: Never Say Die; and our new Seinfeld game, the game about nothing. Within our collectible gaming systems, we are seeing success out of the gates on Battle World 2 and there's a lot more fun and games on the way. Moving to our direct consumer business. The channel accounted for 11% of net sales in the quarter. As we continue to generate strong revenue and track the growth by offering an increased selection of main line items, as well as limited edition exclusive for your book, driving traffic and increasing car size. We've also increased the conversion rates on our growing traffic volume. We will continue to expand product lines and enhanced customer experience. This is and will remain an important driver for incremental growth for Funko. Turning to international expansion. We saw growth across our geographies particularly in Europe, which maintained a strong momentum from Q1 to Q2 and exceeded 2019 results. The major contributors to this growth were specialty recovery, continued Loungefly growth, and our D2C channel Funko europe.com. Our other international geographies also show growth, especially Oceania and LatAm. Finally, this week, at Funko, we announced a brand new initiative as part of Funko Cares Program called Pops! With Purpose. At Funko, community engagement has always been at the center of our efforts. With Pops! With Purpose, we are elevating our commitment to our community with a distinctly Funko approach. We began identifying causes that are important to our fans, employees, and communities. Today, we are partnering with leading organizations to create pop collections, celebrating the individual is affected by or contributing to those causes. Stay tuned for our first pop collection in partnership with Make-A-Wish. We've had an excellent first half of the year, and we're excited to execute on the opportunities in front of us. We look forward to keeping you updated as we progress through the year. I will now turn the call over to Jen to take you through the financials and 2021 expectations.
Jennifer Jung: Thanks, Andrew, and good afternoon, everyone. We're pleased to report record second quarter results highlighted by net sales growth of 141% over the prior year, reflecting the very strong second quarter demand and broad based strength across our product categories, geographies and channels. The over performance relative to our expectations was primarily driven by our Loungefly brand in Europe as well as strong mass market results. All comparisons are the second quarter of 2020 unless otherwise stated. Net sales in the U.S. increased 110% to 163 million, while Europe grew 393% to 52 million, and our other international markets increased 117% with growth in all of our larger reasons. Begin with active properties in Q2 was 795, an increase of 23% from prior year. Net sales for active property were 297,000 in the quarter, an increase of 95%. For a list of our top performing properties in the quarter please see the accompanying earnings presentation. On our price category basis, Q2 net sales figures grew 142% to 187 million with Pop branded product increasing 137%. Non-figure product sales increased 136% to 49 million, primarily driven by our Loungefly brand, which grew 132%, but with strong contributions from accessories, game, plush and action figures. Second quarter gross margin was 39.1%, an increase of 250 basis point versus Q2 of 2020. This improvement primarily reflects our healthy inventory position and lower clearance activity in the quarter. While we were able to largely offset the writing of shipping and freight costs in the first and second quarters, we've seen a sharp acceleration in July in shipping and freight to remain a significant headwind throughout the second half. SG&A came in at 55 million slightly lower than anticipated due to do the timing of on-boarding new talent and a shift in marketing spend the second half of 2021. Moving down the P&L, adjusted EBITDA increased substantially to 41 million with adjusted EBITDA margin of 17.4% and adjusted diluted earnings per share of $0.40. Turning to the balance sheet and cash flow, we ended the quarter with 95 million of cash and cash equivalents, our highest balance ever and 75 million of availability under our revolver representing total liquidity of 170 million. We ended the quarter with total debt of 177 million down 26% compared to Q2 of last year. Inventory at quarter-end totaled 86 million up 43% on sales growth of 141%. The business generates strong operating cash flow of 71 million during the quarter. As Brian mentioned, we expect container costs and availability to present a much greater headwind in the second half than we saw in Q2. Meanwhile, Delta variant concerns continue, adding additional uncertainty to the second half outlook. Offsetting these external headwinds is the record demand for our products across all our channels and our focused execution. Based on our current view, we're raising our full-year revenue guidance to reflect our strong second quarter, while adjusted EBITDA margin guidance remains unchanged. With that context for the full-year 2021, we are raising our top line outlook at the midpoint by about 30 million, with anticipated net sales of 900 million to 930 million. We now expect gross margin for the year to be approximately at or just below 2020 levels, which implies a sequential decline from Q2 reflecting the sharply increasing shipping and freight costs expected in the second half. We affect third quarter SG&A on $1 basis to increase sequentially to the mid to high single digit millions, reflecting a catch up in some of the marketing spend that shifted from Q2 with a more modest sequential increase in the fourth quarter. Full-year adjusted EBITDA margin is expected to be in the range of 14% to 14.5% representing an increase of 170 to 220 basis points compared to 2020. We expected adjusted net income of $57.4 million to $64.2 million based on a blended tax rate of 25% and adjusted earnings per diluted share of a $1.06 to $1.19 based on the weighted average diluted share count of 54 million. We appreciate your time this afternoon now, Brian, Andrew, and I would be glad to take your question.
Operator: [Operator Instructions] And our first question comes from Tami Zakaria from JP Morgan. Tami, your line is open now, if you'd like to proceed with your question
Tami Zakaria: Hi. Thank you so much for taking my questions. So, my first question is regarding your comment that the Delta variant is beginning to weigh on consumer sentiment. Could you elaborate on that a little bit? Is that based on what you've seen from retailer order trends or the end consumer holding off on purchases because of the virus?
Jennifer Jung: Hi, Tami. How are you? This is Jen. Thanks for the question. What we're really describing there is what we're hearing externally. Our demand has never been stronger. We feel really good about our Q2 sales and about our outlook. It was more just to acknowledge that, this pandemic continues to weigh on consumer sentiment. So, we'd be remiss not to mention that.
Tami Zakaria: Got it, got it. So, it's not nothing specific to Fanko's quarter-to-date trends rather more of a macro sentiment. Okay. Got it. Got it. That's super helpful. And then, I think your previous full-year guidance contemplated like a low-to mid double-digit sales growth in the back half. And now, I think you're raising it to like mid-teens to high-teens sort of a range. So, can you help us understand what that means for the third quarter versus fourth quarter? And then whether this increase implies any contribution from the NSP that you launched recently?
Jennifer Jung: Yes. So, the way I would think about our quarter is we have a fairly stable, normal, quarterly basis. And I think looking at just some of the history, if you remove 2020, of course, would be helpful. As we talked about in our last call, we feel really good about the NSP results. We just launched our first one officially on Tuesday, which was exciting. At this point, it's an evolving industry and we're new to it. So, we have not baked that into our numbers at this time.
Operator: Okay. Next question comes from Erinn Murphy from Piper Sandler. Erinn, your line is open now, if you'd like to proceed with your question.
Erinn Murphy: Great. Thanks. Good afternoon, and congratulations, Andrew and Brian to the announcements this afternoon. I guess my first question is on supply chain, 70% I believe you produce out of Vietnam. Could you share a little bit more about what you're seeing in terms of factory downtime? How flexible you can be in terms of moving product out of Vietnam or into China or just elsewhere? And then you talked a little bit about freight expense in the back half, really starting to pick back up? What's embedded in the outlook right now? And are you having to tap into air freight?
Brian Mariotti: I'll take the first part of that. As far as bandwidth in terms of capacity for our factories, we're in great shape. We still have as you said 70%, 75% is still in Vietnam. But, our ability to keep up with demand is not a problem in factory capacity. It's more about container space, that's where the bottleneck is for us. And just about everybody else, we continue to work with either some of our biggest retailers in the world about moving Appleby product to them. They're having the same constraints that we are, but I'll let Jen answer the second question.
Jennifer Jung: Yes. We've -- as you, I'm sure you've been reading as well. It's constantly evolving that the situation with the containers and the freight costs. We have tried to look forward to see what we anticipate based on what we're seeing out in the marketplace and bake that into our guidance. That's why we feel really good about our EBITDA margin guidance. But, if we were to actually exceed our sale with the margin pressure on just take them over staying out there, but we have contemplated those freight increases in our guidance.
Erinn Murphy: Okay. And then Brian, just a follow-up just to make sure I understand. So are you not being impacted by any of the factory downtime? I know a lot of athletic manufacturers, right now, were kind of moving on to week five or six downtime in factories. So just wanted share your thoughts?
Brian Mariotti: Not an issue for us at all, Erinn.
Erinn Murphy: Okay, great. And then a couple follow-ups, maybe Andrew for you. I'd love to hear how your view is of back to school thus far? And what you're seeing in terms of your Concord channels? It sounds like math was part of the outperformance in Q2, is that continuing into third quarter, and maybe what you're seeing in digital versus specialty as well?
Andrew Perlmutter: Yes. Hi, Erinn. Yes, so we are seeing, we saw strong results in the mass market. In Q2, as we've been building pretty significant programs in that channel for quite some time. And that channel fared the best over the last year, and so it continues to. So although back to school isn't traditionally a very big event for Funko, we do obviously get a little bit of the foot traffic that's going into the stores for back to school, supplies and things like that backpacks, but that there are more of the targeted back to school. So yes, I mean, we're thrilled with where we are right now and we think that we're benefiting maybe a little bit from the foot traffic, but I wouldn't say it's anything over and above what see normally.
Erinn Murphy: Okay. And then last question is following up on NSP, very exciting to see that that came out earlier this week. Can you share a bit more about the user experience you've created and how should we think about frequency of launches going forward? Thank you so much.
Brian Mariotti: Yes, great question. I would tell you that we didn't create a user experience. We definitely piggybacked on WAX's marketplace, and we certainly worked with them and-in-hand to try to enhance maybe previous releases on that platform to try to make it more like a phone call family expected. I think they did a really good job. With that being said, it is in our plan and WAX is aware that we are building our own marketplace and we will end up controlling the end of that fairly quickly. As far as cadence is concerned, I think we're not going to be as aggressive as we originally thought with the once a week releases. We talked earlier and Andrew and Jen did a road show about the difficulties in the licensing space with the legalities of the boilerplate contracts, because it's just new and there's a lot of outside counsel on outside counsel on them trying to come up with that. I also think that there was a lot of learnings despite amazing initial launch. There are things that we want to do to better the overall stress. But my guess is you're going to see things on an every three week cadence with a couple ones. It'll be a little bit shorter than that, but throughout the end of the year, I think as we continue to ramp up, our contracts are taking a little bit longer than we anticipated. I think you'll see a more robust where the schedule in '22, but so far we're really, really optimistic and thrilled with the initial release.
Operator: Our next question comes from Steph Wissink from Jefferies. Steph, your line is open now, if you'd like to proceed with your question.
Steph Wissink: Thank you. Good afternoon, everyone. And I'll echo Erinn's sentiment and congrats to the team on the transition. My question is actually on Loungefly. If we could just unpack that a little bit over 100% of the quarter, has that been some incremental distributions sounds like Europe was part of that? What do you seeing about that customer relative to your core business? Is it bringing a new customer into the Funko family? Are you seeing that as an overlapping customer that's already buying some of your figures as well?
Brian Mariotti: Yes, I'll start up and let guy chime into. I mean, we're obviously seeing, we like to say that the thriving of the mom and pop or the specialty retailers are really driving a significant amount of growth. They're being able to order more. They're being able to carry their own exclusive content that marry with obviously the parks going back in into play with Disneyland, Disney World and the resorts, Universal Studios as well. The D2C Channel continues to thrive and again, more dedicated resources to creating more interesting online exclusive content for the D2C is also thriving. And then the part of what Andrew and I promise Loungefly when we acquired on, which is more licenses and more help with distribution. I think all of that is really just -- it's just been phenomenal, the growth story there. But we just think we're just honestly scratching the surface with that brand. We think that we're capable of so much more. And we've really been able to put some talent around that team. And it keeps, we keep investing in Loungefly. And it's obviously paying off at all. But I'll let Andrew and Jen add anything to that.
Andrew Perlmutter: Yes, I'll just chime in quickly on the customer mix. I would say that we're seeing sales from both existing Funko fans, but we're definitely bringing new people into the Funko ecosystem, as part of the furthering becoming a pop culture lifestyle brand. And that's just one more category where we can talk to people that we weren't talking to before. So, I would say, there's obviously Funko fans that are Loungefly fans, but we are bringing new people into the funnel.
Brian Mariotti: Yes, Steph one, just one key metric, we brought our key person on over from Disney to run Loungefly marketing, we've never had a decade of resource before. And she's nearly doubled, the Instagram followers, and we're now over 700,000 Instagram followers. The leading, I guess leading competition in the space, which is a much larger company than we are has 24,000 fans on Instagram. So, they're more commodity based and Loungefly is more, high end brand pop culture base. So, I think that as we continue to build out that brand, the appetite we're seeing globally is just phenomenal for the brand. And we're excited that we're actually starting to properly market the brand in new ways we've never done before. So again, this kind of leads us as we just kind of scratching the surface content, we really are excited about what that future is for them.
Steph Wissink: That's great. And then one for you, Jen, really quickly, I wanted to just reconcile the EBITDA being unchanged. You mentioned gross margins coming in a little bit lower. But then I think you also said something around shifting and marketing to the second half. So, there might have also been a timing factor. Can you just give us a little bit more color there, please?
Jennifer Jung: Yes, that's absolutely correct. We did have some of our marketing that we anticipated originally spending in this quarter and that will shift to the back half of the year to align within the product launches. And then secondly, from an SG&A perspective, we did have a slower ramp of our challenge than we anticipated, but we were still on track to continue to add the talent that we've been talking about on these calls. So adjusted EBITDA margin or reiterating our guidance there, but overall, the adjusted EBITDA obviously with the increased sales will go up.
Operator: [Operator Instructions] Our next question comes from Linda Weiser from D.A. Davidson. Linda. Your line is open. Please go ahead.
Linda Weiser: Thank you. So, I was wondering if you could just talk about things a little bit longer-term kind of even beyond this year in a general way. As business continues to grow rapidly and ramp up, what are the next big sort of infrastructure type investments or initiatives that you need to undertake in order to ensure continued health and growth of your business? And in general, like what would be the CapEx requirements over the next few years? Would the ratio as a percentage of sales stay constant or are you expecting some big investments in the coming years?
Jennifer Jung: Hi, Linda, this is Jen. Yes, so, I think, as we come off our Q4 call, we'll give a little bit more guidance to what we're seeing in 2022 and beyond. What we'll say that, as we talked about our previous call, we're in the middle of investing in infrastructure right now. We do have our ERP project that's in the midst that we are looking to implement next year. So, that's really one of our main focuses right now. And from -- we will have continued to have some infrastructure to invest in, but really a majority of our capital is our tools and molding and that should remain relatively consistent go forward.
Linda Weiser: Great. And then, you mentioned that, the situation with the containers that there could be some shifting more towards the mix of FOB sales. Can you remind us generally normally what would be your percentage of sales about of FOB? And do you think that that's going to shift some sales like into third quarter from fourth quarter?
Andrew Perlmutter: I was going to say, hey, it's Andrew. So when we're talking about that, we are having conversations with our customers right now, Linda, about container availability, right? Whether it's -- we're working our resources to find more containers and our retailers are as well. As you probably know, right, even companies like Walmart and those large retailers are having trouble finding containers. So, those are the conversations that we're referencing around trying to find ways to move products that might not have a home on a container yet. And so, we are in dialogue with our customers. Most of those were already doing some FOB with. So, we're utilizing that as much as we can to move as many products as we can. As far as what percentage of our business is FOB, I think it's around the 25% to 35% when you look at both the U.S. and Europe combined. But I kind of have to go back and really look at that to confirm.
Operator: We have no further questions, so I can hand back to Ben, Brian, Andrew and Jen to conclude.
Brian Mariotti: Hey, guys. I want to thank you everybody and our investors, our shareholders and the Funko team for supporting another great quarter for Funko. And we're looking obviously forward to the rest of the year.
Operator: This concludes today's call and you may now disconnect your lines.